Operator: Greetings and welcome to the Dutch Bros Incorporated Third Quarter 2021 Conference Call. At this time all participants are in a listen only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Patty Warren. Thank you. You may begin.
Patty Warren: Good afternoon and welcome to the Dutch Bros inaugural conference call and webcast. I’m joined today by Joth Ricci, President and CEO and Charlie Jemley, CFO. We issued our earnings press releases for the quarter ended September 30, 2021, after the market closed today, and we will file our 10-Q in the upcoming days. Those documents will be made available on our Investor Relations website and investors@dutchbros.com. Please be aware that all statements in our prepared remarks and responses to your questions other than those historical facts, including statements regarding our future results of operations or financial conditions, business strategy and plans and objectives of management for future operations are Forward-Looking Statements within the meaning of the private securities litigation Reform Act of 1995. All such forward-looking statements are inherently subject to risks, uncertainties and assumptions, and are not guarantees and performance and are expressly qualified in their entirety by cautionary statements. The Forward-Looking Statements made or of today’s date, and we undertake no obligation update them to reflect events or circumstances after today, which reflect new information actual results revise expectations with the occurrence of unanticipated events, except for as required by law. We may not actually achieve the plan, intentions or expectations disclosed in our forward-looking statements, and you should not place undue reliance upon our forward-looking statements. For more details, please refer to our earnings press release into the risk factors in our other SEC filings. Particularly the risk factors described in our prospectus filed on September 16, 2001 in our Form 10-Q for the third quarter of 2021 to be filed in the upcoming days. Finally, while we have prepared our consolidated financial statements in accordance with Generally Accepted Accounting Principles of the United States, we will also reference non-GAAP financial measures today, which can be useful in evaluating our core operating performance. However, these non-GAAP financial measures which may be different than similarly titled measures used by other Company are not substitutes for measures that are prepared under generally accepted accounting principles. Rather, they are presented to enhance investors overall understanding of our financial performance, but should not be considered a substitute for more security of the financial information prepared and presented in accordance with GAAP. Investors should therefore review the reconciliation of these non-GAAP measures to comparable GAAP results contained in our earnings press release and not to rely on any single financial measure to evaluate our business. With that, I would like to turn the call over to Joth.
Joth Ricci: Thank you, Patty. Good afternoon and welcome to our inaugural quarterly earnings conference call and webcast. Thank you for taking an interest in learning more about Dutch Bros. Here is a brief review of today’s agenda. Given that this is our first earnings release following our September 14th IPO. I would like to begin with an overview of our people first culture at Dutch Bros, how it is critical to our success, and how we match that culture with a discipline grand strategy. Charlie will follow with a review of our financial results; provide guidance for the remainder of the year, along with some preliminary thoughts for 2022. I will then wrap up our prepared remarks with a few final thoughts and turn the call over to Q&A. Just eight weeks ago, we listed on the New York Stock Exchange. When we started our journey as a public company we promised to stay focused on a few key areas including disciplined, growth, and people development. Over the course of the last two quarters and into the current quarter, we have seen our strategy deliver strong results. Few months after our IPO we are proud to report that we are meeting or in many cases exceeding our targets and remain committed to the long-term strategies we discussed in our F1, Amazon investors and research analysts. We believe Dutch Bros is uniquely positioned within our industry to not only reach our 10-year to 15-year goal of serving great beverages at 4,000 locations across the U.S., but to also continue developing the people pipeline that enables that unit growth and supports communities and investments. A little background for those of you who aren’t familiar with our Company, Dutch Bros has been serving high quality handcrafted drinks across the western U.S. for nearly 30-years. In 1992 Dane and Travis Boersma started Dutch Bros with a double head espresso machine and a pushcart in downtown Grants Pass Oregon. Today Trav plays a daily visionary leadership role of Dutch Bros and serves as our executive chairman. While, Dutch Bros has already recognized as one of the fastest growing brands in the United States Food Service and restaurant and restaurant industry by location count. We are still in the early stages of a long-term growth story and believe Dutch Bros has enormous potential. Since 2015, shop count has nearly doubled to more than 500 drive-through shops across 11 states. This year, we enter two new states, Texas and Oklahoma. Numbers have shown the brand translates well across regions and we look forward to our continued expansion. In fact, our average unit volume in the most recent states we entered are well above our system average. And that is in spite of very little marketing in those markets. While roughly half of our shops today are managed by a core group of trusted franchisees, who may continue to open source in their existing markets. The vast majority of future growth for Dutch Bros will be through Company owned shops. Several years-ago, we made the decision to stop offering traditional franchise opportunities, we have instead focused on working with our field leadership and existing franchise partners to co-develop a people pipeline of potential operators for Company operated shops. Great people are truly what drives the Dutch Bros culture and experience and what fuels our shop growth. That is why we have an uncompromising and consistent focus on identifying individuals we believe will exemplify our culture, live our values and are eager to share the Dutch love. These values are based on authentically caring for each other, our customers and our communities. Unlike most drive-through experiences to begin with a medium muffled speaker at a faceless menu board. Every Dutch Bros experience starts with an in-person human connection. This comes either through a personalized greeting by a runner who takes your order on a tablet, or directly at the window. You place a premium on quality, speed and service without bypassing the personality of our brand of release. Our releases are genuinely excited to serve, they excel at personalizing every experience and crafting a great drink and monitoring car throughput and the drive-through lane to ensure operational consistency throughout the day. I hope all of you will get to a Dutch Bros soon to experience this energy from our people for yourself. Our promote from within philosophy has made possible through the Dutch Bros leadership Pathway program, which provides a clear path from [indiscernible] to manager to regional operator. First we focus in on hiring the right people, provide them with leadership training and ongoing mentorship and then offer them the opportunity for longer term careers with real prospects of advancement. There are currently more than 900 people in the Dutch Bros leadership pathway program and more than 200 people in our regional operator pipeline, each with an average tenure of 5.5-years. That pipeline alone can support the next 750 to 1,000 company operated shops that we will open. The strength of the relationship with our employees has resulted in our ability to attract great candidates and then outstanding retention which we believe is a real differentiator for the Dutch Bros compared to an industry that is contending with significant staffing headlands. All of our shop managers for the 200 plus jobs opened system wide since January 2018 were promoted from within. Turnover is virtually non-existent within the ranks of the regional operators that will lead our shop growth. We believe our high retention rates are a product of the development opportunities, culture, and financial incentives we provide to our employees and this industry leading retention in turn produces high levels of customer service and a strong financial return. As a result of our high rate of retention, we were able to keep our shops opened during the pandemic and have continued to meet consumer demand across all day parts, while others in the industry maybe have struggled with some staffing. We found one of the key factors in our success as a people first brand is our social impact platform. We are dedicated to making a massive difference in the lives of our employees, our customers and communities by ensuring Dutch Bros a powerful platform for positive action. Our social impact platform is built on four pillars diversity, equity inclusion, sustainability, community relations and philanthropy. We look forward to sharing the progress we are making across all of these aspects of our business in future calls. Our growth is predicated on our people pipeline. We are confident we have a long runway for growth, having reached less than 15% of our full brand penetration. We are committed to steady discipline growth that takes Dutch Bros coast-to-coast and serves both existing markets where there is unfulfilled consumer demand and new markets where customers are waiting to experience Dutch Bros. Across our footprint, we take pride in being able to provide an incredible drive-through experience by serving high quality handcrafted hot and cold beverages with unparalleled speed and superior service. And while espresso based beverages whether served hot iced or blended our course of the brand, they are less than 32% of total beverages sold, demonstrating the breadth and the wide appeal of our menu offering. Our ability to diversify and expand our menu in the innovative and customizable beverage categories has proven to be another key differentiator within the industry. Cold Brew and our proprietary Blue Rebel Energy Drink are prime examples, both for customer favorites and are key areas of growth in terms of sales. They can both be served from a variety of flavor combinations. Cold Brew can be enjoy hot iced or straight from the can in standard or nitro infused while Rebel is typically ordered iced or blended with a wide selection of syrups and flavors. Customization is core to both our menu and our people, our releases are able to create more than 9000 unique drink combinations exactly how the customer wants it using fewer than 12 primary ingredients, which drives broad demographic appeal, a balanced day part mix and traction across geographies. We also utilize technology to enhance the customer experience. Most recently this included the launch of the Dutch Bros app and our Dutch Rewards program earlier this year. Dutch Bros app has been among the most downloaded apps in the Apple App Store within our category and offers customers the ability to earn points based on what they spend while removing friction from sales experience. While it has been less than nine-months, Dutch Rewards has already attracted 2.7 million members as of September 30th and is increasing throughput by improving speed and efficiency. This increased speed for consumer, removing friction allows us to focus on our time and creating lasting connections and refining our innovation based on consumer insights. Our growth strategy, commitment to our people best-in-class customer service, and highly efficient shop operations has resulted in a proven track record of strong unit growth and enabled us to create a highly compelling economic model, which Charlie will discuss here in few minutes. Our customer research points to significant demand for Dutch Bros growth. Many of the shops opened over the last few years have been infill shops to reach new customers and alleviate capacity constraints at nearby existing shops, where our sales are often just too high for a single store to handle. Our new shop growth strategy balances infill and new trade zone market expansion. Given how fast we are going, we have built our economic model to absorb sales transfer between an existing location and a new one. Even as our number of shops have increased over 50% since the beginning of 2019, we have maintained positive same-shop sales growth within our markets. As we enter and scale new markets, we believe our whitespace extends nationwide. Our Company development in near-term will focus on Texas, Oklahoma and California although we will continue to move east. We are confident in or our expansion is a recent new market shop openings in Texas and Oklahoma have performed well above both our expectations and volumes in our legacy markets. As we develop the first sights in new markets, we are also planning the next several shops and believe each opening propels our brand awareness well beyond the existing shop footprint. Word of mouth advocacy for my customers has been among the strongest drivers of brand awareness, largely because our commitment to our people encourages them to become enthusiastic brand ambassadors. 77% of people surveyed in our existing markets were aware of Dutch Bros and yet marketing spend represented only 2% of total system wide sales last year. One of the ways we are helping word of mouth spread is by enhancing our digital and social media footprint. So our customers and crews can engage with Dutch Bros across multiple channels. This will deepen our connections within the communities we serve and increase our social impact. Finally, we plan to expand margins through operating leverage as we have already invested in corporate infrastructure ahead of our expected growth trajectory. Therefore, we should be able to leverage our corporate costs over time to enhance our margins, and project SG&A to grow at a slower rate in our shop base and revenue. At the end of the day, this is a long-term high growth story and one we are really excited to share. You are already seeing our commitment to people development, disciplined growth, increasing brand awareness and expanding margin from operating leverage is resulting in gains beyond even what we had hoped for. We have a strong new store model and we are managing external factors as well or better than our peers. Now, briefly on our third quarter, I would like to highlight a few financial comments. And then thank all of our Dutch team members for their work in achieving this beforehand in the call over to Charlie. Of note, system shop count grew 21% year-over-year to a total of 500 in three shops and we are now open across 11 states. A record 33 shops opened in this quarter of which 30 were Company operated shops. The prior opening record was 26 shops in the fourth quarter of 2020. We achieved this record despite the well documented industry supply chain challenges. These supply chain issues impacted everything from building materials to equipment to product. Year-to-date, we have opened 63 shops, of which 52 are Company operated. We anticipate opening a total of at least 92 shops this year. Approximately 80 of those will be Company operated. Our third quarter financial results demonstrate the underlying strength of this business and reinforce why we have so much conviction around Dutch Bros’ long-term growth prospects. With that, I would like to turn the call over to Charlie to review a few more details as a result. Take it way.
Charles Jemley: Thanks, Joth. Good afternoon. As Joth mentioned, we achieved very strong third quarter results on top of what was a great start to the first half of 2021. Fundamentally, our performance is driven by our ability to continue to drive extraordinarily successful and predictable shop expansion, coupled with our ability to consistently grow sales at our existing stores, which provides us with a very high degree of confidence in our future. In the third quarter, total revenue grew 50% to $130 million. Year-to-date as of September 30, revenue grew 51%. On top of 33% growth we achieved back in 2020 over the same nine-months. The primary growth driver was Company operated shop revenue, which was 63% this quarter, and 65% year-to-date and in 2021. The 65% growth represents an additional $114 million of revenue of which approximately 81% comes from the opening of new shops. While new shops will always be the core of our revenue growth, we also experienced strong growth in our existing stores. In Q3, same-shop sales grew 7.3% on a system wide basis, or 8% year-to-date. We achieved these quarterly comparisons despite rolling over headwinds caused by abnormally low discount promotion expenses in the same period of 2020. This created a drag on comparable sales in the third quarter of 2021 of approximately 470 basis points. As a reminder, unlike many in the restaurant industry that experienced declined from COVID We actually grew same-shop sales 2.4% in the third quarter of 2020. Thanks to the reliability of our drive-through focused model. Given the COVID-19 pandemic, we are also watching our performance relative to 2019. For the 2019 comparable store base, 297 of our 503 total shops, 2021 same-shop sales rose 10.7% quarter three over 2019 levels for those same-shops. Same-shop sales growth for Company operated shops is also a strong 4.7% in Q3. This was on top of 2.5% growth for the same quarter in 2020. What is so impressive about that 4.7% positive growth is that this comes despite two headwinds. First was the negative rollover from abnormally low discount promotion costs in 2020 of 470 basis points. And as a result of new company shops built near existing high volume shops, we experienced an additional 110 basis points of negative same-shop sales drag from what some of the industry call cannibalization, what we refer to as strategic sales transfer. We call it strategic sales transfer as in most cases, we have made the conscious decisions to transfer some volume from existing high performance older shops to newer stores nearby that enhanced customer experience and creating more balanced sales base across our stores that can then grow further. In aggregate, these represent 580 basis points of headwinds in quarter three, making us even more proud of the same-shop positive sales growth we achieved. Isolating these factors gives a more accurate representation of the underlying strength and strong momentum of our business. I want to take a moment to discuss discounts, which drives many of the margin comparisons and Company operated shop profitability. While this is a meaningful metric now, as our discount rate stabilizes, it will limit the impact of rollovers in the future. When the pandemic began, we instituted a number of protocols to make employees and customers feel comfortable. We stopped exchanging cash and we suspended the stamping of our paper based loyalty cards. We then digitized our loyalty programs to the Dutch Rewards program launch in early 2021. These changes have significantly altered our discount and promotional expenses. When expressed as a percent of gross sales discount and promotional expenses declined from the upper teens in 2019 falling to as low as the mid-single-digits in 2020 and are now normalizing. After absorbing the cost associated with signing up over two million members in the first half of 2021, discounted promotional expenses are now settling and close to our targeted go forward rate. We expect that rate to be in the low double digits, creating a permanent margin lift. Importantly, unlike a simple paper punch card, we are now able to create more value from this promotional expense by learning more about customer patterns, and preferences. The Dutch Rewards program is a powerful tool, giving us many opportunities to engage with customers and satisfy them in creative ways. We believe the yield will build over time and allow us to develop operational and speed at service efficiencies. If the percentage of sales generated by rewards customers continues to accelerate, we may see our discounts and promotional expenses rise. But the payback on that is very clear by having customers join the rewards program where we can directly and efficiently engage with them. As I mentioned earlier, outstanding new shop performance is the primary driver of strong revenue and adjusted EBITDA growth. Our new shops continue to exceed expectations and we have seen this consistently in recent quarters and uniformly across new and existing markets. Average weekly sales for new shops also continue to outperform the overall system, increasing AUVs to an all time high of 1.8 million on a trailing 12-month basis. As we continue to infill existing markets, our new shops provide balanced charges in high volume shops. This is accomplished by transferring customers to locations that are more convenient for them. [Audio Gap] without compromise. Challenging times are often when a strong culture has the opportunity to demonstrate its greatest value. Our approach to managing operations is even more critical today with the backdrop and environment where many businesses struggle to source and retain employees or to even operate regular hours customers rely upon. In Q3 we had less than 0.1% downtime on shops from staffing constraints. A metric that we believe positions us favorably in our industry. Shifting now to Company operated shop profitability. As I mentioned in the third quarter company operated shop revenue grew 63% to $109 million dollars. Company operated shop profit grew 18% to $22.8 million. That delta between revenue growth and shop profit growth is the result of the abnormally low discount promotional costs in 2020 that I noticed earlier. If we apply consistent discounted promotional costs rate to quarter through 2021 and quarter three 2020. Company operated shop profit grew 50%. Any remaining delta and profitability is a result of the expected startup inefficiencies of our new shop - newest shop openings. The shops we opened in Q3, as their startup results impact the overall portfolio. That said, we are pleased with the ramp profile of our 2021 unit class. For example, the shops open in the first quarter of 2021 are performing higher than the system average on both a sales and margin perspective. Total selling, general and administrative costs were 154 million in the third quarter, compared to 26 million in the third quarter of 2020. This increases primarily from the recognition of 125 million in non-cash stock-based compensation and 3.3 million in direct IPO related transaction cost and a $1.4 million one-time charitable donation in connection with our IPO. Removing these expenses, core G&A was 18.7% of total revenue. We will continue to invest in the people and systems necessary to enable and drive growth. Given the high returns we are delivering and Company operated shops, we believe these investments are necessary and positioned us well to support growth on a profitable and a sustainable level. We generated 20.6 million of adjusted EBITDA in the third quarter, and 68.8 million year-to-date. This quarter reflects a 2.6% decrease as compared to Q3 of 2020 and reflects the lapping of those abnormally low discount promotion costs in 2020. On a year-to-date basis, growth is 21%. Note that our adjusted EBITDA adds back stock based equity compensation, non-recurring expenses related to our Initial Public Offering on September 15, 2021, and costs related to the COVID-19 pandemic which has not yet ended. In order to walk you from reported net income to adjusted EBITDA, we have included those details within a short presentation we posted on our investor website. We reported a third quarter net loss of $117 million or $0.15 EPS down from net income of $6.7 million in the prior year. Adjusted for one time charges, net income was $11 million, or 23% EPS. We used our primary proceeds from the IPO to pay down the entire balance of our $198 million term loan and to maintain a strong balance sheet geared for new shot growth. As of September 30, we had $26 million cash equivalents and $35 million drawn on a revolving credit facility, reflecting just $9 million in net debt. We also had $115 million in committed undrawn capacity in our revolving credit facility, allowing us to be nimble and flexible as we grow. Before turning it back over to Joth, we wanted to share guidance for quarter four and select metric for 2022. Total shop openings are expected to be at least 30 in quarter four. Revenue is projected to be in the range of $125 million to $128 million. Same-shop sales are estimated in the mid-single-digits, adjusted EBITDA is projected to be in the range of 12.5 million to 13.5 million. With that, I will turn it back over to Joth for closing remarks.
Joth Ricci: Thanks, Charlie. Again, I hope what you take away from today’s call is a better understanding not only the financials of the Company, but what has and will continue to make Dutch Bros successful. These results reinforce our disciplined plans and makes us growth and national brands. Our success is driven by a phenomenal culture and the people who embody it. As we move forward, we will continue to focus on people development and strengthening our systems to steadily move towards a 4000 shop goal. We will introduce our brand new markets, increase brand awareness in existing markets and invest in digital technology to ensure we are reaching the right audience and living up to the extremely high customer service standards we set for ourselves. Finally, we will expand margins through operating leverage. Our strategy and business plan is about discipline, it is about executing, and it is about having confidence in the fact that we can build on short-term wins for long-term success. We thank you again for your interest in Dutch Bros and now we would be happy to take your questions. Operators, please open the lines.
Operator: Thank you. [Operator Instructions] Our first question is from Andrew Charles with Cowen. Please proceed with your question.
Andrew Charles: Great. thanks guys and great first quarter of gait .Given the continued success for the shift into the digital loyalty program in 2021. What are your thoughts on digital ordering through the app. I know you have been open minded about this in the past and was curious that something you are more focused on now than perhaps two months ago when you were doing the road show?
Joth Ricci: Hey Andrew, it is good to good to hear from you. I think that is certainly on our radar, and something that we are actually working on, and we will hope to be looking towards a test of that here pretty soon and something I think we will be able to talk about maybe in the next 90-days to 180-days with more specifics around it. But I think our rewards platform, is something that we are going to continue to build off of, and really, the basis of what we built was a foundation that we can really grow from. And I think our team is really looking at a variety of upgrade options that will fit the Dutch Bros experience.
Andrew Charles: Very helpful. And then apologies if I missed it. But did you guys disclose what the mix of loyalty sales were it goes running around 50% when you guys were pursuing the IPO and I’m curious within that just one of the early learnings being in the loyalty offers to increase frequency and ticket that you are working ultimately towards personalized marketing with?
Charles Jemley: Hey Andrew, it is Charlie. So about 60% of tender, is through the rewards - program rewards members. So that is your first question. Can you follow-up with your second one?
Andrew Charles: Yes. I’m sorry, Charlie. 60, six zero percent?
Charles Jemley: Six zero.
Joth Ricci: Yes. Six zero.
Andrew Charles: Got it. And just I would love to know, early learnings just I know that you guys have a loyalty program, you have been starting to do more - not quite personalized, but certainly more offers intended to increase frequency and ticket and we are just curious what the early learnings there?
Charles Jemley: Yes. I think, the early learnings on that have been wildly receptive. Through September, our rewards members are average TAC is around 5% to 7% higher than a non-rewards number. And we have been after kind of very targeted promotional opportunities at local levels and then also thinking through category promotions, whether it is Cold Brew or increasing, either around some of our holiday drinks currently. I think all of those have shown really some great early results. And with that we have enrolled now almost 2.8 million members in our rewards program with a launch of February 1st, so definitely getting some activity.
Andrew Charles: That is great. Thank you so much.
Charles Jemley: You are welcome.
Joth Ricci: Thank you.
Operator: Thank you. Our next question is from David Tarantino with Baird. Please proceed with your question.
David Tarantino: Hi, good afternoon. I was hoping first to ask about performance in your newest markets in Texas and Oklahoma. I think you have been adding more units in those markets. Since the last time we talked and was curious to know what you are seeing as you further penetrate those markets in terms of AUVs. And I guess I directionally I think you mentioned that they are still above the system average. Just wondering if you could maybe elaborate on what you are seeing as you penetrate those markets?
Charles Jemley: Yes. So, David it is Charlie. So those markets are still holding in excess of 20%, ahead of the system average. So and we have been fast filling in are in those stores right quickly infilling and been able to maintain very high volumes. And when we look at our margins, we are very pleased with those outcomes as well. So we are speeding through Texas as fast as we can get there.
David Tarantino: Alright. Thank you for that detail. And then Charlie, another one on margins so I think in the presentation, you show a bridge that gets you to 31% shop margins, after, I guess, backing out the pre-opening costs. And if I do the same bridge for the quarter, you just reported, it is lower than that. So I wonder if you could talk about the factors on why the most recent quarter would be lower than the last 12-months and whether you think that is a new run rate for the business?
Charles Jemley: A couple of things there. Number one, the third quarter from the volume seasonality perspective is slightly below the average for the year so you get a little bit of deleverage. And then we are starting to feel a couple of things. We changed operationally we changed our freeze product to be a pre-mix product. It is a little bit more cost to goods, but then eventually we have a far superior product itself and we will eventually get that back in labor savings. And you may have noted that we did pulse prices in early November, we had not taken any prices in our system of any significant since pre-COVID. And so you know, we have absorbed a little bit of general inflation, normal inflation, whether it is wage changes in markets that had legislated minimum wage, and they are getting to their last years, or other general wage inflation. And we have been very thoughtful and careful about price escalation. Now again, we instituted a price increase to defend our margins going forward. So you got both a seasonality aspect. And then the lag of the current price increase versus what is happened inflationly over the last few quarters.
David Tarantino: Got it. And then I guess, as you think about your fourth quarter EBITDA guidance or does that imply that you expect the margins to be better in the fourth quarter than the third quarter given that price increase?
Charles Jemley: No not significantly. No, I mean, the guidance is a little higher, the absolute number is lower than quarter three, that is seasonality driven. So no, we are not expecting any real change in the shape of margin other than seasonality impacts.
David Tarantino: Great. Thank you very much.
Charles Jemley: Thanks.
Joth Ricci: Thanks David.
Operator: Thank you. Our next question comes from Jeffrey Bernstein with Barclays. Please proceed with your question.
Jeffrey Bernstein: Great, thank you very much. Welcome to the public markets. Few questions.
Joth Ricci: Thanks.
Jeffrey Bernstein: I’m not sure if you should be thanking us or not. The first question just on the pricing you just mentioned. I’m just wondering, maybe you can share your historical average in terms of pricing. And how do you think about the right level and periods of outside inflation. It would seem like you have a couple of options you do the price to whatever level is necessary to hold the margins. If you think you have pricing power or the alternative, I guess you prayed more modestly. Maybe you let the industry leading margins take a little bit of a hit, but you protect your traffic. So I was just wondering how you think about pricing in this current environment and maybe what you just took in November as a proxy and then I have one follow-up.
Charles Jemley: Okay. So historically over the years 1% to 2% pricing and as I mentioned very low pricing since pre-COVID, the great thing, and Joth mentioned it in his script that we have 12 ingredients. I don’t want to simplify the supply chain and dismiss the great effort our teams make to get things to stores. But we don’t have a complexity that others do and therefore, we are not nearly as subject at least to-date to the types of inflationary pressures that others are having. We believe that price increase we just took will defend our margins again going into next year. And we want to just stay really focused on genuinely giving value to our customers. And we will just monitor it. We don’t have any hard and fast philosophy. It is an environment today where you got to be able to pivot quickly. And that is the approach we would like to take. I think we expect our margins to generally hold up, they are industry leading and we are very grateful to have that and we will watch this over time.
Jeffrey Bernstein: And the second we have gone through an entire set of prepared remarks, and there was no mention of your basket of commodity or labor inflation in the third quarter or your expectations going forward. Is it really, to the degree that it is fairly minimal or can you share maybe what your basket of inflation was for commodity and labor in the third quarter and what your outlook is?
Charles Jemley: The basket is low-single-digits and inflation overall, it is very mild and tempered. And we don’t say that thinking we are immune to the struggles that could happen going forward, but we have been very fortunate, dairy is not really up that is a big component of our cost structure. We are forward out on coffee very long, and we have a three bean blend that we can pivot around and manage our costs. And so we feel we don’t see the kind of pressure others are seeing. And then, on the labor side, aside from wage changes related to minimum wage laws are out here West for example. We just have not felt the kind of wage inflation, we already were paying our people very well and we have not had to intervene at this stage.
Jeffrey Bernstein: Understood. And my only question, Joth, I’m just wondering as you think about the projected unit growth, which is obviously the fundamental driver of your top-line and clearly industry leading. Just wondering if you could talk about what you perceive to maybe be the greatest challenge and the risk to that growth. Doesn’t sound like it is really staffing and doesn’t sound like it necessarily real estate and it is not really new market pushback, which are usually the areas that high growth stories talk about. So I’m just wondering, what leads to the guard rails of the mid-teens annual unit gross that you have put out there relative to something higher or lower. How do you arrive at that number when there doesn’t seem to be much in the way of limitation? Thank you.
Joth Ricci: Thank you Jeff. I think the answer to that is really, our growth is predicated based on our people readiness. So what we are trying not to do is we are not a real estate company that we are plugging people into, we are a people company, plugging real estate into it. So what I’m super careful of is stretching our culture to a degree where we wouldn’t be able to handle that. And we have gone from 42 locations to 71 locations to this year, we will open 92. We have been on a really good run here for the next three years. And I would say building the muscle of growth, but also we will not compromise our culture or our people systems related to what really might be the less challenging side of actually finding real estate. Our pipeline is full we are well out on our leases, and we are very confident in our growth plan, that we all seem to manage it with our people development and we will make sure that is our number one filter to open new shop.
Jeffrey Bernstein: Great. Thank you.
Operator: Thank you. Our next question, John Ivankoe with JPMorgan. Please proceed with your question.
John Ivankoe: Hi, thank you. I understand that there weren’t closed store days or maybe even close shifts, or perhaps even closed hours at the store. But, what about the periodic staffing challenges that must have occurred in some stored somewhere, in the quarter. I mean, obviously you guys run a drive-through format and not having staffing and that drive-through format very logically would affect throughput. So, can you, I guess, I’m really kind of pressing you for an answer here, say, hey, we were there any operational challenges that did periodically occur in the quarter in terms of number of cars getting through as specific hours and I guess, is that an opportunity going forward to get even better?
Joth Ricci: Well, I think two answers. Hey, John, this is Joth. I think there is two answers that one, yes, there is an opportunity to get better. Two, is that, we absolutely weren’t completely immune from a staffing problem here and there. But we certainly did not have anything that affected the overall performance of the business that even really hit to our radar, that might have damaged our ability to perform. So does that mean, we didn’t have a challenge? No. Does it mean that we had a challenge that was enough to create problems? I’m not aware of anything that did that. So again, we are kind of boring in that sense and also very fortunate that our leadership in the field and our people in the field have been amazing at the way they continue to onboard people recruit people and make sure that we are fully staffed to serve the customer. So nothing really there for us to report.
John Ivankoe: That is great. And boring in most cases is good. So thank you for that. I wrote down 60% of tender, I think was through your reward program. Converting that digital customer to mobile order and pay whether it is through curbside or perhaps it is just as a walk up window or maybe you during different slower day parts where you are not necessarily at your throughput peak. I mean, I think it would be an interesting opportunity for you, as you kind of further yourselves down to digital landscape into what is your current thinking on that. And how would you kind of put that in your in the Dutch Bros priorities, I guess, over the next couple of years?
Joth Ricci: Well I think the expansion and development of our rewards program and the app itself, it is right there, top one, two, three and priorities related to the development of this business and the things that we don’t really have anything other than just a frictionless payment system right now, I think for all of us that there is opportunity operationally to improve order ahead, walk up windows. The order ahead in a Dutch Bros way, because we will always maintain the service aspect of what we do and we think that is an important element to who we are. We don’t ever want to remove that. But maybe there is a way to even improve the service aspect is what we do through a last order system or the last week you had. And there is so many great enhancements of technology now through kind of fencing our stores and when people go through that digital fence like what information they can learn. I think there is, there is some incredible opportunities. And I think our team is really just getting on the early stage of building that.
John Ivankoe: Thank you.
Joth Ricci: Thanks John.
Operator: Thank you. Our next question comes from Chris O’Cull with Stifel. Please proceed with your question.
Unidentified Analyst: Great, thanks guys. This is [Patrick] on for Chris. You are obviously building a lot of sites at a really rapid pace and I’m just curious if you are seeing any upward pressure in terms of site prep or construction costs, due to labor shortages or raw material inflation on that side, on the construction side of things or if you are seeing any need to order equipment out farther ahead or any issues, procuring equipment as you develop? And then I have one follow-up.
Charles Jemley: Hey how are you. It is Charlie. We are seeing a little bit of upward pressure and build out costs. We have had some disruption, but we have been able to pivot pretty quickly to be able to get equipment on site, materials on site. We are fortunate that we are not doing elaborate build outs in terms of lobbies and things like that. Again, not dismissive of what it takes to get all these sites built. But we are not seeing great upward pressure and we are not experiencing great difficulty in terms of getting things logistically on the site.
Unidentified Analyst: Great that is helpful. And then just one question I mean, I appreciate everything you guys said on staffing already and certainly that your operator turnover is really low. But I’m curious, just underneath the hood of not having as many issues as maybe some of your peers. Is there less turnover in the hourly ranks, because you are you have that upward mobility and you are seeing that really pay off for you from a retention standpoint or is it that you have seen hourly turnover increase but maybe you are just more effective as an employer of choice in your market to be able to bring people in to replace as that term maybe has gotten a little bit higher. Just any additional call you have there would be helpful. Thanks.
Joth Ricci: We actually have seen our hourly turnover go down here over the last few pay periods and have not had that issue in market. So again, I got to give credit to our hiring teams in markets. We have a lot of our employees attracting other people and communities to come forward. They are actually our best recruiters as our current employees that they come work at Dutch it is a great place to work. And so I think that the system that we have and the people that are out there just talking about how great it is to be at Dutch Bros has really been a difference maker for us in market. So, again, the staffing issue just isn’t there for us. And one if anything, as the labor market continues to improve, we think is only going to get better.
Operator: Thank you. Our next question comes from Sara Senatore with Bank of America. Please proceed with your question.
Sara Senatore: One question and a couple of follow-up please. The first is long you mentioned - is that the right number to think about going forward-.
Joth Ricci: Hey Sara we actually can’t hear you. We can barely hear you.
Sara Senatore: [Technical Difficulty] is that the right number to think about going forward or are we are going to see a little bit less than what is [Technical Difficulty].
Charles Jemley: Sara, it is Charlie. On the sales transfer, I think that is the right way to think about it sequencing forward about that level, it may ebb and flow a little bit in a particular quarter, just depending on how much backfill or infill we do versus new trade zones. But that is the way we are thinking about it, given what is happened over the last few months.
Sara Senatore: And are you, do you have a sense now, as you open more about sort of how long it take for a store, that maybe condition store that did have some of that sale transfer, working against it to get back to previous levels, as we think about just the kind of volume cadence over time?
Charles Jemley: Not enough data that we could really anchor ourselves on, given how fast we have gone recently. But we see that stores that are receiving impact are receiving impact of less percent right now. So we definitely think there is some build back opportunity. But we couldn’t quantify that just yet. We are still new and new into all of that sort of strategy. So I think in the coming quarters, I think we will have much better information to share on that.
Sara Senatore: Okay. And then just make it the same answer to this next question my last one, which is you mentioned the payback of acquiring consumers and offering some of the discounts is clear. Do you have any information on frequency or spend or how it changes when people join the rewards program?
Charles Jemley: So we have data on frequency, but I think the thing that we want to do is let this evolve over time. So in other words, now we can follow a customer and we have identified them through the rewards program and just in February this began. So you really need to follow them through a number of cycles, our frequency is good. But it is not such a high frequency business that we could point to. Our people’s behavior is changing as part of becoming a rewards member and how are those rewards members behaviors changing over time as we engage with them. So you are exactly right. But everything we see gives us a ton of optimism around where this is going.
Sara Senatore: Got it. Thank you very much.
Joth Ricci: Thank you.
Charles Jemley: Thank you.
Operator: Thank you. Our next question comes from Nicole Miller with Piper Sandler. Please proceed with your question.
Nicole Miller: Good afternoon and thank you. Just two questions. The first, you are clearly seeing same-store sales momentum. All be it year-over-year compares become more challenging. Can you just rank the impact of price and I’m thinking it might be the 5% to 7% higher check on 60% of the tender loyalty more than anything, but I also don’t want to overlook any menu or marketing influences on comp as well?
Joth Ricci: Yes, well over time price is just such a small piece of what our momentum is. I mean, it is almost not measurable. In terms of what loyalty is doing just yet again, yes, we get an higher average check from loyal customers. But you would expect that because they are loyal customers. So a lot of what we are seeing is just plain good solid traffic growth.
Nicole Miller: Alright. So execution, excellent. And then it was very helpful to understand the concept and the employee for sure, because they touched the customer, but I want to ask you a little bit more on the customers. Where is that customer going to are coming from, is Dutch the first cup of coffee. Essentially, what is the behavior of the customer and has anything changed?
Joth Ricci: Well, I wish, I knew the answer to that. I think that we are learning about that every day. I mean, I think some of our data points to - obviously, we are a West Coast brand for 30 years, and we are very close to a Starbucks and probably every market that we are in. And so I’m sure we trade back and forth with customers there. I do think, in some other people in the industry have thanked us for introducing customers to a coffee type concept, because we tend to be a younger audience, where people are coming into the industry and so I think we get some degree of credit for introducing that to people. But as our menu is shifting with energy and cold brew, and things of that nature, I think that is also changing a bit too. So, for us, it is convenience stores. It is probably the local, large chain, coffee location. And really anybody else who serves beverages I think that is what we love about the business that we are in. Is that that beverage business, whether it is the lunch counter pickup business or whether it is a convenience store or whether it is the Starbucks that has been there I think everybody who is in the beverage business, I think we are all competing for that occasion. So we will learn more, especially you over the next couple of years as we dig more into that type of information and research.
Nicole Miller: I appreciate that. I asked that question just terribly. So I’m going to try again, although that was very helpful. I mean, they are coming in the middle of the day or late morning. So no one is getting up at 5 a.m. And, well, I shouldn’t say no one. A nice chunk or getting up super early and hustling over to the drive-through. But my goodness, they are coming all day long. So thinking about the customer themselves, like why were they driving to, where are they driving from and that is it work. Is that something else besides that and would that be more in that framework? Sorry, I didn’t frame that well.
Joth Ricci: That is okay, thanks Nicole. I think that you have - the short answer is yes. So, we do have that early morning, I’m going to work we do have the dropped off kids at school. I’m now getting started with my day. We do have the I’m going to school crowd. I think we have 27.5% of our business is done in the afternoon day part, so that tells me it is an after school crowd, it is a second drink of the day, pick me up crowd. 37% of our business is done midday so like 11 to 1 which is definitely a lunch crowd. So we are very spread across day parts, I mean 25.7% in the morning, 36.6%, midday, and 27.5% in the afternoon. So the answer is yes. I mean, they are coming from whatever they are kind of doing in their lives and making Dutch a part of their day. And I think that is what is pretty important about a concept and the menu that we offer.
Nicole Miller: Thanks for that. Thanks for taking my questions.
Joth Ricci: Thank you.
Operator: Thank you. Our next question comes from Sharon Zackfia with William Blair. Please proceed with your question.
Sharon Zackfia: Hi good afternoon. I was hoping you could talk about turnover at the hourly and managerial levels and if you have any metric if you compare relative to 2019, for those metrics. And then, sorry if I missed this, but it looks like the franchise comps, although it is a smaller part of the business were stronger than company owned. Is there something going on with the franchisees are taking more price or can you talk about what might be going on there?
Charles Jemley: So I will take the franchise piece, slight difference in pricing that they will take, they are a little more aggressive, but it is really geography, it is just where they are placed. Some of the markets, they are in just to have a bit more growth in some of the markets that companies anchored in. They are great operators, but they are not better operators than our company folks, it is really just the dispersion by geography. And then, in terms of turnover and staffing and Joppa weigh in here, we almost have no turnover at the store manager level and as we talked about that core position regional operator. Our on shift employees I will call it is way below 100% turnover. And I know from my other experience and other businesses, it is simply lower than - it is one of the lowest around. We are just not feeling much churn.
Joth Ricci: Yes, I think it is to Charlie’s point, it is kind of call it, mid-50% range for staffing. And really we are 100% staffed and no turnover at the management level. So, we have been fortunate, I mean, we have people who love to come to work at Dutch Bros every day, we would love to be a part of the chemistry that we have in stands. And like I said, if anything that people who are working in our stands are best recruiters for new employees. So they love being there and I think our team on the ground creates a great environment for people to work.
Sharon Zackfia: Alright, thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Joth Ricci, for any closing comments.
Joth Ricci: Thank you and thank you to everyone who joined the call today. Thank you for being part of this journey with us as we have now become a public company, we have been just, very thankful for the response that we have gotten for the excitement that people have and for the many people who are just learning about Dutch Bros for the first time. We welcome you to the family and look forward to having you along this journey with us. So thank you again. We look forward to the future calls and shared results and most importantly, have a great rest of your day. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.